Operator: Good morning, and welcome to Tradeweb's Third Quarter 2023 Earnings Conference Call. As a reminder, today's call is being recorded and will be available for playback.  To begin, I will turn the call over to Head of Treasury, FP&A and Investor Relations, Ashley Serrao. Please go ahead.
Ashley Serrao : Thank you, and good morning. Joining me today for the call are our CEO, Billy Hult, who will review the highlights for the quarter and provide a brief business update. Our President, Tom Pluta, who will dive a little deeper into some growth initiatives; and our CFO, Sara Furber, who will review our financial results. We intend to use the website as a means of disclosing material, non-public information and complying with our disclosure obligations under Regulation FD. I'd like to remind you that certain statements in this presentation and during the Q&A may relate to future events and expectations and as such, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Statements related to, among other things, our guidance are forward-looking statements. Actual results may differ materially from these forward-looking statements. Information concerning factors that could cause actual results to differ from forward-looking statements is contained in our earnings release, presentation and periodic reports filed with the SEC. In addition, on today's call, we will reference certain non-GAAP measures as well as certain market and industry data. Information regarding these non-GAAP measures, including reconciliations to GAAP measures is in our earnings release and presentation. Information regarding market and industry data, including sources is in our earnings presentation.  Now let me turn the call over to Billy.
Billy Hult : Thanks, Ashley. Good morning, everyone, and thank you for joining our third quarter earnings call. I am extremely proud of our Tradeweb team that generated the second-best revenue quarter in our history. This quarter continued to showcase profitable share gains across many of our markets. While our business is not immune to the macro backdrop, we believe we are increasingly building an all-weather platform that helps our clients manage risk in a variety of environments. We're also laser-focused on enhancing our one-stop shop value proposition for our clients by continuing to add and link products electronically. Diving into the third quarter, client activity and risk appetite continue to grow, which drove a return to double-digit revenue growth despite an uncertain macro backdrop. Specifically on Slide 4, record revenues for any third quarter in our history of $328 million were up 14.4% year-over-year on a reported basis and 12.5% on a constant currency basis and adjusted EBITDA margins expanded by 92 basis points relative to the third quarter of 2022. We continue to balance revenue growth and expenses on an annual basis with revenue growth of 8% during the first 9 months of 2023, translating to a 58 basis point increase in our adjusted EBITDA margin to 52.2% relative to the first 9 months of 2022. Turning to Slide 5. Rates and credit led the way, accounting for 60% and 29% of our revenue growth, respectively. Specifically, the record revenues across our rates business were driven by continued growth across global government bonds and swaps and returning growth across our mortgage business. Similarly, the record revenues across credit were led by strong U.S. and European corporate credit, including record quarterly market share in electronic U.S. investment grade and high-yield credit. Money markets produced its second highest quarterly revenues ever, fueled by growth in our retail certificate of deposit franchise and continued organic growth in institutional repos. Equities revenue fell 2% due to a double-digit decline in industry ETF volumes, which were partially offset by a strong equity derivatives revenue growth. Finally, market data revenues were driven by our proprietary third-party data products, which continue to enjoy robust growth and a strong product pipeline as well as by APA reporting revenues. Turning to Slide 6. I will provide a brief update on 2 of our main focus areas, U.S. Treasuries and ETFs and turn it over to Tom to dig deeper into U.S. credit and global interest rate swaps. Starting with U.S. Treasuries. Revenues achieved a new record, increasing by 17% year-over-year and eclipsing industry volume growth of 15%, this was driven by our institutional business that had its best revenue quarter ever, led by record average daily volume across our institutional streaming protocol and growing adoption of our RFQ+ offering. The high rate environment continued to propel our retail business where revenues grew over 60% year-over-year. The leading indicators of the institutional business remains strong. We achieved record quarterly market share of longer-dated U.S. Treasuries versus Bloomberg. Client engagement was healthy with institutional average daily trades up over 60% year-over-year. Automation continues to be an important theme with institutional U.S. treasury AiEX average daily trades increasing by more than 150% year-over-year. Our U.S. Treasury's wholesale business produced its best revenue quarter in our history, led by record volumes across our sessions protocols and strong growth across our streaming protocol. While our central limit order book protocol faced tough market conditions, the team has made initial progress in deepening client wallet share with average daily volume up 20% quarter-over-quarter and we expect to onboard more liquidity providers over the coming quarters. Within equities, our ETF business outperformed the overall market, but faced a tough industry backdrop, given lower equity market volatility and a lack of price dispersion that minimize portfolio rebalance activity. During the quarter, we added notional-based trading for ETFs to complement our legacy share-based trading, responding to increased demand from asset managers, retail aggregators and the wealth management community. Other initiatives to expand our equity brand beyond our flagship ETF franchise continue to bear fruit. Institutional equity derivatives revenues were up nearly 30% year-over-year, driven by strong double-digit growth across options and convertibles. ADR volumes also saw a dramatic year-over-year increase. Looking ahead, the client pipeline remains strong as the benefits of our electronic solutions continue to resonate. We believe we are well positioned to capitalize on the long-term secular ETF growth story not just in equities, but across our fixed income business. Moving on to our international business, which is another component of our growth. Revenues grew 18.1% year-over-year on a reported basis and 13% on a constant currency basis. The growth was driven by strong performance across European government bonds, European swaps, emerging market swaps, European credit and market data. Revenue growth was driven in part by growing adoption across Asian and North American clients trading non-U.S. products. Looking forward, we're excited to broaden our international presence with the closing of the Yieldbroker acquisition, which complements our existing rate business, deepens our product presence and expands our client footprint deeper into the APAC region. Similar to Tradeweb, Yieldbroker has a comprehensive product offering across Australian and New Zealand debt capital markets and a diverse set of clients and protocols. We have hit the ground running with the integration and we'll be focusing on consolidating technology over the next 18 months. Additionally, we are spending significant time with the talented Yieldbroker employees that we welcome to Tradeweb and with local clients to set the stage for further collaboration. Finally, today, we announced our new market data agreement with Refinitiv, who will distribute our data to their clients for a period of 2 years. This contract not only generates significantly more revenue for Tradeweb, which Sara will touch on later, but also provides more flexibility to grow our proprietary data business. We also see additional upside as we build more products to enhance the trading experience of our clients. Separately, we also announced a strategic partnership with FTSE Russell to expand benchmark pricing, broaden index inclusion and enhanced trading functionality across fixed income products. We'll update you on that initiative as we make progress. With that, I will turn it over to Tom.
Tom Pluta : Thanks, Billy. Turning to Slide 7 for a closer look at credit. Strong double-digit revenue growth was driven by 21% and 49% year-over-year revenue growth across U.S. and European credit, respectively. This was partially offset by unattractive yield differentials still dampening client interest in munis and softer industry trends across credit derivatives. We Automation continued to surge with Global Credit AIX average daily trades increasing over 95% year-over-year. Honing in on U.S. corporate credit, revenue growth was driven by all 3 client channels. The strong share gains across IG and high-yield were driven by our continued focus on providing all our clients regardless of client channel, with a diverse set of protocols that meet their execution needs across a variety of market environments. This strategy is resonating as we continue to expand our wallet share across RFQ and dealer RFQ, especially with respect to the rising share we have accomplished within our all-to-all network, and we continue to grow our leading footprint across portfolio trading and sessions. We also continue to increase our engagement and wallet share with ETF market makers, where inquiry volume was up over 80% year-over-year and traded volume was up over 100% year-over-year. Finally, we achieved our second highest block market share across both IG and high yield. Our institutional business continues to scale to new highs. Despite mixed industry volume trends with IG growing 7%, but high yield falling 9% year-over-year, our institutional U.S. credit revenues grew over 25% year-over-year. Looking at the underlying protocols, our primary focus on growing institutional RFQ continues to pay off, with ADV growing 29% year-over-year with strong double-digit growth across both IG and high yield. Overall, portfolio trading ADV rose 23% year-over-year, led by growth across U.S. and European PT. In the third quarter, we produced record ADV across IG portfolio trading. Retail credit revenues were up low single digits year-over-year as financial advisers remain focused on buying U.S. Treasuries. All trade produced a record quarter with over $137 billion in volume. Our all-to-all volumes grew over 50% year-over-year, aided by 60% year-over-year growth in our dealer RFQ offering. The team continues to be focused on broadening out our network and increasing the number of responses on the AllTrade platform. In the third quarter, the number of all-to-all responders rose by over 10% and -- and responses increased by nearly 50% year-over-year. Our sessions ADV grew over 35% year-over-year, while ReMatch produced 30% year-over-year growth. Looking ahead, U.S. Credit remains our biggest focus area, and we like the way we are positioned across our 3 client channels. We believe we have a long runway of growth ahead of us. As I've said in the past, electronically, Credit is a young market that is ripe for further innovation. The team remains focused on growing our wallet share over the long term, led by further product innovation and enhancements as we work with our clients to further electronify the market. Beyond U.S. Credit, our EM expansion efforts continue to progress steadily. One quarter after completing our first Mexican local currency bond trade we saw our largest EM portfolio trade in September, and we completed our first local currency bond trade that utilized our FXall collaboration. Moving to Slide 8. We -- Global swaps produced record revenues despite facing a volatile macro environment in the quarter. The third quarter saw continued headwinds from lower duration as clients traded on the shorter end of the yield curve, and record compression activity in August. Despite the 17% reduction in duration and elevated quarterly compression activity, which improved materially in September, variable swaps revenues increased 24% year-over-year. Overall, global swaps revenues grew 20% year-over-year, and market share rose to 18.2% and with record share across U.S. dollar-denominated swaps. Electronic adoption continues to grow from the utilization of electronic trading of products for the first time to the expansion of automated trading. During the quarter, we saw certain clients trade swaptions electronically for the first time, a product that we are focused on electronifying. Additionally, we've seen banks look to expand their usage of electronic protocols across their strategies. Finally, we've seen macro hedge funds increasingly look to utilize automated trading as they expand their footprint across global swaps. Electronic adoption is different across our different clients, but the trend is all the same. We believe clients will look to trade more of their flow electronically moving forward. Our core focus is to be the valued partner our clients look towards as they expand their electronic footprint. Finally, we continue to make progress across emerging market swaps and a rapidly growing RFM protocol. Our third quarter EM swaps revenues increased over 165% year-over-year and we believe there is still a lot of room to grow given the low levels of electronification. Our RFM protocol saw ADV rise over 100% year-over-year with adoption picking up, especially across our European swaps business. Looking ahead, we believe the long-term swaps revenue growth potential is meaningful. We believe recent cyclical tailwinds around the shape of the yield curve will provide clients with the opportunity to start extending duration. With the market still less than 30% electronified, we believe there remains a lot that we can do to help digitize our clients' manual workflows while the global fixed income markets and broader swaps market grow.  And with that, let me turn it over to Sara to discuss our financials in more detail.
Sara Furber: Thanks, Tom, and good morning. As I go through the numbers, all comparisons will be to the prior year period, unless otherwise noted. Let me begin with an overview of our volumes on Slide 9. We reported third quarter average daily volume of nearly $1.4 trillion, up nearly 30% year-over-year and up 29% when excluding short-tenor swaps. Among the 22 product categories that we include in our monthly activity report, 12 of them produced year-over-year volume growth of more than 20%. We -- Areas of strong growth include global swaps, U.S. investment-grade credit, China bonds, equity derivatives and repos. Slide 10 provides a summary of our quarterly earnings performance. The third quarter volume growth translated into gross revenues increasing by 14.4% on a reported basis and 12.5% on a constant currency basis. We derived approximately 37% of our revenues from international customers and recall that approximately 30% of our revenue base is denominated in currencies other than dollars, predominantly in euros. Our variable revenues increased by 18% and total trading revenues increased by 15%. The -- Total fixed revenues related to our 4 major asset classes were up 7.8% on a reported and 6.2% on a constant currency basis. Rates fixed revenues growth was driven by the addition of new dealers across our mortgage specified pools platform and our U.S. Treasury streams and CLOB protocols. Credit fixed revenue growth was driven by the previously disclosed dealer fee floor price increases, which we instituted at the start of the third quarter. And other trading revenues were up 9%. The -- As a reminder, this line fluctuates as it reflects revenues tied to periodic technology enhancements performed for our retail clients. Year-to-date, adjusted EBITDA margin of 52.2% increased by 29 basis points on a reported basis and 78 basis points on a constant currency basis from the full year 2022. Moving on to fees per million on Slide 11 and a highlight of the key trends for the quarter. You can see Slide 16 of the earnings presentation for additional detail regarding our fee per million performance this quarter. Overall, our blended fees per million decreased 8% year-over-year, primarily due to a mix shift away from cash rates and a decrease in cash credit and cash equities fee per million. For cash rate products, fees per million were up 8%, primarily due to a positive mix shift towards higher fee per million U.S. Treasuries. U.S. Treasuries fee per million were also aided by the continued pickup in our retail channel. For long-tenor swaps, fees per million were down 21%, primarily due to a 17% decline in duration year-over-year and an increase in compression trades. This was partially offset by growth in EM, European swaps and our RFM protocol. For cash credit, average fees per million decreased 4% due to a mix shift away from munis, partially offset by an increase in European credit fee per million. For cash equities, average fees per million decreased by 13% due to a mix shift away from higher fee per million European ETFs and a reduction in U.S. ETF fee per million given an increase in notional per share traded. Recall in the U.S., we charge per share and not for notional value traded. And finally, within money markets, average fees per million increased 5%, driven by a mix shift towards U.S. CDs, partially offset by a mix shift away from EU repos. Slide 12 details our adjusted expenses. At a high level, the scalability and variable nature of our expense base allows us to continue to invest for growth and grow margins. There has been no change in our philosophy here. Adjusted expenses for the third quarter increased 12.1% on a reported basis and 8.5% on a constant currency basis. Compensation costs increased 14.1% due to increases in head count and performance-related compensation. Technology and communication costs increased primarily due to higher data fees and our previously communicated investments in data strategy and infrastructure. Professional fees decreased 9.7%, mainly due to a decrease in legal and consulting fees. Adjusted general and administrative costs increased due to unfavorable movements in FX. Unfavorable movements in FX resulted in a $1.4 million loss in 3Q '23 versus a $2.2 million gain in 3Q '22. Slide 13 details capital management and our guidance. On our cash position and capital return policy, we ended the third quarter in a strong position with nearly $1.5 billion in cash and cash equivalents. Free cash flow reached approximately $645 million for the trailing 12 months, up 16% year-over-year. As a reminder, we funded our yield broker acquisition with cash on hand. Our net interest income of $17.5 million increased due to a combination of higher cash balances and interest yields. This was primarily driven by recent Fed hikes and more efficient management of our cash. Non-acquisition CapEx and capitalized software development for the quarter was $17.9 million, with the increase driven primarily due to the timing of our investment spend. Year-to-date, non-acquisition CapEx and capitalized software development is up 9% year-over-year. With this quarter's earnings, the Board declared a quarterly dividend of $0.09 per share of Class A and Class B common stock. And finally, we spent approximately $4.9 million under our share buyback program, which included opportunistic and planned repurchases to offset dilution from stock-based compensation plans, leaving approximately $239.8 million at the end of the quarter for future deployment. Turning to guidance items. We are now tightening our 2023 adjusted expenses to range from $670 million to $695 million, including Yieldbroker. We now expect CapEx and capitalized software development to be about $56 million to $63 million with the increase due to the Yieldbroker acquisition. An acquisition and Refinitiv transaction-related D&A, which we adjust out due to the increase associated with pushdown accounting, is now expected to be $128 million due to the Yieldbroker acquisition. For forecasting purposes, we continue to use an assumed non-GAAP tax rate of between 24% and 25% for the year. And finally, we expect 2024 and 2025 revenues generated under the new master data agreement with Refinitiv to be approximately $80 million and $90 million, respectively. Now I'll turn it back to Bill for concluding remarks.
Billy Hult : Thanks, Sara. In today's ever-changing financial landscape, market participants are constantly seeking efficient and reliable trading solutions to navigate periods of market stress and volatility. While the first half of this year saw a more challenging macro environment, it did provide our teams with the opportunity to sit down with clients to problem solve real-time inefficiencies in their current workflows. We -- the combination of a reliable product that delivers proven performance improvement, to close collaboration with clients to address their pain points and the flexibility to continually enhance that product creates a recipe for perpetual innovation. I continue to be excited about the road ahead. With a couple of important month-end trading days left in October, which tend to be our strongest revenue days, overall revenue growth is up mid- to high teens relative to October 2022. We -- The diversity of our growth remains a theme as we are seeing strong volume growth across global government bonds, global interest rate swaps, corporate credit, equity derivatives and global repos. Our IG share is higher than September levels, while high-yield share is lower than September levels. I would like to conclude my remarks by thanking our clients for their business and partnership in the quarter. and I want to thank my colleagues for their efforts that contributed to our record quarterly volumes and best third quarter revenues at Tradeweb.  With that, I will turn it back to Ashley for your questions.
Ashley Serrao : Thanks, Billy. [Operator Instructions] Q&A will end at 10:30 a.m. Eastern Time. Operator, you can now take our first question.
Operator: [Operator Instructions]. And our first question comes from Craig Siegenthaler with Bank of America.
Craig Siegenthaler : When we take a step back, I think we all need to remember that we're still currently in year 3 of a bond market bear market, which I think makes your results even more impressive today. But this has been driving layoffs and expense tightening at the dealers and buy side. So with volumes up but fewer people trading bonds, what have you been seeing across your client base? And we're especially interested in the low-touch and no-touch [indiscernible] like AiEX and also, has there been more or less pushback on price recently?
Billy Hult: Craig, and thanks very much for the question and completely kind of hearing where you're coming from. And I think as you know really well, what I would start with is our real core approach for 25 years has been this sort of like collaboration and how we listen to our biggest clients in a lot of ways, our biggest clients are the biggest banks. So your question has a lot of sort of real-time validity to it. And that collaboration has been a central theme to who we are as a company forever and ever. And you're right, there have been some what we would describe as kind of like rough roads for some of our big bank partners recently, and that's been in the headlines. My instinct is the roughest of those roads in a sort of significant way has been really on the sort of what we would describe as like the DCM side, the M&A side, the capital market side, et cetera. And actually, interestingly, if you look at the sort of overall kind of global capital markets activity from the biggest banks, it's actually been pretty robust and healthy. That being said, your point is a good one. And without question, there is always this concept of, from their perspective, a little bit of a pressure to do more with less. And so the question becomes like from a bank perspective, how can I connect with my most important clients in the cheapest and most efficient way. Our instinct is that aspect plays very well to us, obviously. And this migration from kind of high-touch trades to low-touch trades, doing more with less has been like a central theme for us for this year. So like interestingly, the numbers kind of bear out where we're putting our intensity. Craig, AiEX numbers for this year have been like exceptionally strong, like across the board, right? So we're up, I think, over 60% year-over-year on our flat out AiEX numbers. On the rate side, average daily trades from an AiEX perspective were up 90%. Strong adoption like a cross credit globally in the U.S., I believe it's like high 80% and in Europe, like low 90s. So this is like -- I've described this as like just one-way train effect. around how clients are connecting with their most important dealers through algorithms and electronically. That's where we're headed. And I think it plays a really large role in allowing the biggest, most important banks to make markets to their most important clients efficiently. We talked a little bit at the last quarter around the rise of alternative market makers I still think there's this like straightforward headline around how Citadel and Citadel like companies continue to enter the marketplace, around leading with electronification. I think that's like a one-way trend that, obviously, we continue to partner with and collaborate with, and we think is good for our business. The fee conversation is always there, right? And from our perspective, we've navigated the concept of fees again from the very, very beginning. And I think we're, as a company, pretty adept at that. At the end of the day, are you creating value? Are you figuring out ways to deliver the client base to the most important banks? Are you picking up market share? And all of those things I think we've excelled the fact. So we feel good about where we are from a fee perspective. And we're always going to lead with having the most important conversations with the banks listening and collaborating and we feel good about where that relationship is in an overall way. And thanks a lot for the question.
Operator: Our next question comes from Benjamin Budish with Barclays.
Benjamin Budish : I wanted to ask kind of a similar question, thinking high level about overall market electronification, specifically on the treasury D2C business. I saw from your October investor presentation, it looks like the sort of electronic penetration has kind of gone up a little bit from prior estimates around 45%. But what are your thoughts on sort of the longer-term achievable level? How far can that market go relative to the D2D market? And what are the kind of key hurdles to getting there? And how are you going after that opportunity?
Billy Hult: Yes, super good question, Ben. And it is actually kind of a little bit of a similar theme that I was describing when Craig asked an excellent question as well. If you kind of heard the way Tom and I and Sara spoke like in my office and we talked about the major priorities of the company, without question, right at the top of the list would be, from our perspective, the focus on kind of increasing the electronification of the very first market trade what was in way back when, which is the Treasury market, particularly on the dealer client side, which is kind of interesting. To start with around your question, I think from where this market can go and should go, and from my perspective, will go, take a look at where the wholesale market is on the treasury side. the levels of electronification that's there, which is sort of in that 75% to 80% zone. That has to be where we're going. I would also bring up the TBA mortgage market. which is obviously also higher electronified in that kind of 75% to 80% zone. That's where we need to take this, right? And I've talked a lot about kind of why in 2023, as we're kind of entering into 2024, there are still clients that pick up the phone and do trades like it's 1994, right? And the reason why that is, is typically larger trades, more complex trades still get done on the phone. A lot of what we're doing around AiEX from our perspective begins to really address that as we think about the concept of larger trades getting broken down. That's a little bit of the sort of beginning of it all, right? And so we'll remain like super focused on aspects of the government bond market in terms of like how we are really kind of electronifying, like micro things like roll trades, how we're continuing to roll out AiEX trades to our larger group of clients. General instinct is, again, if you think about the push and pull that we're dealing with a little bit back to Craig's conversation, the forward momentum around this is really strong. Do you have to get the protocols right? Absolutely. And so from a company perspective, we are highly engaged and highly focused on making sure we get all of those different protocols, right? I'm happy to - Tom, forgotten more about the treasury market than like I know. I grew up, as you guys know, it's like a little bit of like a mortgage gig. So happy to give Tom, a little perspective on that, if you want to add?
Tom Pluta: Yes. I think Billy described it well. I think if you look at some of the specific areas and treasuries that are yet to be electronified that we're going after. As always, it's the larger size trades. It's illiquid securities like deep off-the-runs and tips and strips. And it's multi-leg trades across rates products. So for example, the cash versus futures trade that's very popular and treasury versus swaps, asset swap trades. We think that -- and we do have plans for each of these areas with blocks, we're constantly encouraging our clients to push a little further in the size threshold electronically, and we think that will continue to grow over time. Billy mentioned AiEX, that's been growing rapidly. That's now 50% of our U.S. treasury tickets are executed by AiEX and it's about 10% to 15% of our treasury volumes. So increasingly, we've seen more clients take large trades and break them down into small pieces and executing algorithmically via AiEX. So there's a lot of ways to attack that. On the liquid securities solutions that we have for the wholesale market like U.S. Treasury sweep allows dealers to offset very efficiently their deep off-the-run risk, and that's continuing to grow. And on things like cash futures basis and swap spreads the cross product trades, we are working on algorithmic solutions, and we feel that we do have ways that will make it more efficient to execute these trades electronically. So I think if you look at all of these efforts taken together, we are confident that we will continue to grow the share of D2C electronic trading.
Billy Hult: Thanks for your question, Ben.
Benjamin Budish : That was very thorough.
Operator: Okay. Our next question comes from Andrew Bond with Rosenblatt Securities.
Andrew Bond : And -- with the recent close of the Yieldbroker transaction, can you give us some guidance in terms of revenue run rate and margin profile as you integrate? And maybe bigger picture, dealmaking and M&A discussions picked up a bit in recent months across the space. given Tradeweb operating from a position of strength and increasing cash flow, how are you thinking about further acquisitions to augment your organic growth?
Sara Furber: Andrew, it's Sara. Why don't I start with that? Thanks for the question. It's nice to hear from you. On Yieldbroker, obviously, we're really pleased with our acquisition. To give you a sense of it, for the months that we've owned Yieldbroker, revenues were approximately $1.3 million and those are up about 30% year-over-year. So that can give you a sense of how the run rate is. The business is operating post our acquisition, I would say just about a 40% margin. And as we think about it, one of the things we're excited about is post the technology integration period, which has already begun, we think that lasts for about 18 months. we expect Yieldbroker to be accretive to our overall corporate margins, albeit a small transaction. So hopefully, that gives you enough color just in terms of your modeling. On your broader question about M&A, I think Billy mentioned this last quarter in terms of the earnings call, we've been increasing our focus on M&A versus historical levels. We like our positioning and think we can be opportunistic. The scale and the bandwidth of the company has increased. So I think our ability to do multiple things at the same time has also increased, that doesn't mean we aren't as confident and we remain really confident in our ability to drive double-digit organic growth as well. The capital allocation waterfall that we always talk about remain the same. So first, organic, then inorganic and then obviously share repo and dividends when you're talking about our cash on the balance sheet. But I think one of the things which is embedded in your question is, as we think about how M&A can really be helpful to our franchise, we think about it in 2 ways. We think about strategic priorities and that framework and we think about financial framework. So from a strategic perspective, it always starts with, is it our right to win. Tradeweb has a great portfolio and there are lots of ways where we can add value to things that we're acquiring. We're focused on diversifying our revenue base and client base. You saw that in Yieldbroker. And even going back further in the history, you saw us enter and add new client channels with acquisitions that added the retail channel and the wholesale channel and so I think as we look forward, we think that's still a great way to add new client segments, whether it be things like regional banks or corporates down the road or even just deepening client relationships with places that are growing like systematic macro hedge funds. We're also obviously focused on increasing our TAM, always looking for adjacent or new asset classes or products or regions. We're looking -- we like the rate space where we have a strong franchise. We like treasury futures. And then lastly, we're very focused on looking at new technology that accelerates our time to market and that we can leverage across a really broad portfolio of businesses. So strategically, I think those are our priorities and there are a lot of ways where inorganic opportunities probably come to market there. And then obviously, being CFO, always focused on the discipline of financial framework. We're focused on making sure they both can enhance revenue growth or increase operating leverage and that they'd be accretive over the medium term. So I think you can count on that. And Billy can probably.
Billy Hult: You're spot on, Sara, and -- spot on. As we are kind of talking specifically about Yieldbroker, we always talk about our network and the client footprint in the exact way that you described. And one of the things about Yieldbroker that really gets us pretty jazzed is this concept, obviously, of where they are with the superannuation funds. which, as everybody knows, the fifth largest pension fund market globally and the ability to cross-sell into that client network has us quite excited about the acquisition. So you make all the correct points. Thanks very much for the question.
Operator: Our next question comes from Patrick Moley with Piper Sandler.
Patrick Moley : I just had one on regulation. And I know you've spoken about this in the past. But it seems like SEC is maybe getting closer to issuing a final rule of potential clearing for cash treasuries. So I was hoping to just get your updated thoughts on this. What do you think the probability is we see something here before the end of the year? And then maybe just an update on the impact you expect this to have on Tradeweb's business and treasury markets more broadly.
Tom Pluta: Patrick, and yes, a very timely question. So the expansion of U.S. Treasury Central Clearing remains a top priority for the SEC as well as the U.S. Treasury and the New York Fed. So it is happening. It's coming. We do expect the final rule to be released in the next 2 to 3 months. and still not ruling out a chance that it gets released before the U.S. Treasury Annual Conference, which is on November 16 in 3 weeks. There is a lot of complexity to the implementation of this type of rule operationally. Risk management systems have to be updated, models have to be updated, new participants will need to be connected to the clearing house, changes to the FICC, default funds, waterfalls and things like that. So there will be a significant phase-in period. The industry is talking about maybe 3 to 5 years to get it sort of all done potentially in stages. The SEC may say, "Hey, let's try to get this done in 2 years, " but it will take a number of years. There are differences of opinions about how this would be staged, some think that they'll focus on getting clearing of U.S. treasury repo done first. Others don't think that. Others think it will be staged by client type, like maybe getting the PTFs and hedge funds to start clearing and then go to other types of clients later. But regardless of the precise form, it is coming. As far as the question about how it impacts Tradeweb, we're pretty confident that when adopted this rule will be directionally positive for us. with a lot more trades being centrally cleared without settlement risk and credit checks and things like that, e-trading should continue to increase for all the obvious reasons, easier to submit trades to the clearing house, anonymous protocol should be encouraged to grow. So -- and we did observe this when the dollar swap market moved to central clearing. As far as overall volumes in the market, we don't think that this will have any particular impact. There's benefits to many participants if this happens. There's new cost to other participants. And despite some lobbying against this expansion, we think that treasury volumes won't be impacted.
Billy Hult: And the only thing I'll add just really quickly at the risk of becoming like the Tradeweb historian, we've done a really good job navigating the regulatory wins in a bunch of the very big markets that we are in frontline and center would be obviously our global interest rate swap business. And so our ability to have a strong voice around ultimately how regulation gets implemented into the marketplace has been something that we've consistently had and Tom brings like a significant expertise around these issues that makes us feel really good that the outcome around how this regulation plays out, will ultimately be beneficial for us and something that we want to be straightforward involved in. And again, thanks again for the question.
Operator: Our next question comes from Daniel Fannon with Jefferies.
Daniel Fannon : Billy, I was hoping to get some high-level perspective just given the uncertain macro backdrop. Can you discuss the -- what would be an ideal environment for your product suite to see the highest growth? Feels like October is showing a lot of these trends, but would love your perspective.
Billy Hult: Yes, it's a good question. And not that I'm sort of like known for nonanswers, but it's -- that's actually like a pretty tough question to kind of answer perfectly, Dan, but I'll do my best. We're in 50 products globally and 3 different client channels. So trying to always figure out like what ultimately is that sort of best environment can be different because to make an obvious point, these different businesses are affected differently by the environment, and that's a part of kind of our business outlook. First of all, I would say, just in general, to your question, Dan, the concept of an upward sloping yield curve which I think is seen 80% of the time, from our perspective, leads clients to trade on the longer end of the curve, which obviously increases duration, which is an overall positive for our business, right? Second thing I would just say is what I would describe as sort of like normal market volatility, and that becomes almost like a difficult thing to perfectly say exactly what is normal market volatility, but something around like the normal cadence of market and having something also that spurs from our perspective, that kind of healthy debate around direction of the market has been beneficial to us, right? And so to make an obvious point, and we talked about this a little bit earlier in the year, shocks to the system like happened around the pandemic or the regional bank crisis when there can be market dysfunction tend to be setbacks as clients take risk off. And I'm kind of describing the back and forth of things. And then the last thing I would just say, which I think is an interesting point because we're seeing it kind of play out in an important region, a market that's free from what we would describe as limited yield curve control, for example, what had happened in Japan. But with what the BOJ has taken off in terms of yield curve control is a very healthy outcomes for our business, right? And so we're seeing that play out in that region. And that would be the third kind of dynamic that I would sort of describe to you. But without question, from our perspective, this is a really good environment. And so you hear this from me consciously always aware of what environment we are in. But at the same time, always very well aware of picking up market share in all of these businesses that we are in. And then this continued sort of like migration around phone business into the electronic world always remains from my perspective, like the number one priority of the company. So it's an interesting kind of balance. And it's an excellent question that you asked and thank you.
Operator: Please stand by for our next question. which is from Kyle Voigt with KBW.
Kyle Voigt : So maybe just a follow-up with respect to Dan's question. We've had -- we've seen a lot of pockets of extreme ball over the last few years with the pandemic and the banking crisis,and with long end rates now in October kind of hitting their highest levels since '07 and the move index spiking back higher. I was just curious if you could provide a bit more color on what you're seeing in October in terms of the interest rate swaps market. we're obviously seeing really strong volumes. I don't know if you can comment there on whether you're seeing above the kind of mid- to high teens that you set for the total company on the swaps business specifically? And then also if you could just comment on whether there's any evidence of deleveraging alongside these really strong volumes or whether this is simply creating just better demand for hedging?
Tom Pluta: Great. Kyle. Yes. So we've definitely had volatility spikes, including the big one in March of this year during the regional banking crisis when the move index hit, I think, $200 million. But the current VAW levels that we've seen have been consistent with what we've had over the last 2 years have moved sort of in this 100 to 160 range most of the time during this aggressive Fed tightening cycle. And currently, it's about 130. So we do feel that the current levels of delivered volatility are very healthy for our business. We're seeing consistent hedging activity in swaps as large trading -- large bank trading desks are focused on prudent risk management, the regional banks, obviously, their practices have been highlighted and they're doing some more hedging. The other positive thing, I think, going forward is there's still a very wide dispersion on views around the path of inflation, whether the Fed hikes anymore, whether they're going to start cutting soon or whether they will be on an extended hold period. So because of that, I think high levels of activity will continue as people have a lot of different views there and react to every data point that comes out. The -- As far as the question about deleveraging, we really haven't seen it. We -- I think the hedge fund community has done very well on this extended move higher in rates and the steepening of the curve. They've been on those trends. So there's still a healthy amount of activity from all our various client segments. And I think your point on the curve steepening is a good one. We've had a massive steepening and disinversion of the curve over the last 4 months. pretty staggering. If you look at a very broad curve measure, say, 2-year against 30-year treasuries, that's moved over 100 basis points in 4 months from negative 105 to just about 0 this morning. So the steeper curve that we're seeing is allowing for extension of duration trades out of the curve, which, of course, is positive for us as well. So -- The only other general point I would make to add on to Billy's comments from the last question is over the last 4 years, we've been through a really wide range of macro environments. The COVID volatility, the Fed cutting rates from 2.5% to 0 and now back up to 5.5% as inflation is surged. We've had QE in that period, QT. We've had bank failures and big yield curve shift. But through all of those environments, Tradeweb is continuing to deliver significant revenue growth, significant volume growth and significant income growth. So I think that's a testament to, as Billy said, we've got 50 products around the world across asset classes and in the various client channels. So I think that diversification benefit we're continuing to see over and over through the macro cycles and I think remains a key differentiating strength for us going forward.
Billy Hult: And we're going to keep working at it. Like the focus is going to be, the focus, and it's really going to be on this concept back to that first -- very first question about the business, like the concept of 60% of the client dealer electronic, 60% of the client dealer business and treasury still being done, like it's 1994 is the thing that keeps us kind of as energized as a company as we are. And so our focus going forward is going to be continue to electronify these markets that we live and breathe in through that collaboration that we described with our most important clients. That's all of the kind of upside that we feel so strongly about in terms of what we do.
Operator: Our next question comes from Alexander Blostein with Goldman Sachs.
Alexander Blostein : So maybe just building on this last question around global swaps. And look, the volumes obviously continue to surprise to the upside over the course of the quarter. and based on the CEF data, October looks pretty awesome as well. So obviously, volatility is a part of that, but there's been quite a bit of noise given the LIBOR transition, et cetera, in compression volumes that you've highlighted in the past. So I know it's difficult, but could you help sort of dissect the recent volume trends and sort of frame what is sort of transitory versus more things that you've been talking about with expansion of protocols, expansion of clients and the environment? So that kind of framework would be helpful. And then when it comes to fee per million, and I know a separate question, but sort of related, any way to help us frame to what extent extension and duration that we are seeing in the market today could help that swap fee per million as we look out?
Tom Pluta: Sure. Great question and great to hear from you, Alex. So in the normal course of business, compression activity, ebbs and flows and moves around a lot. As far as the LIBOR transition, which was completed on June 30. That's all done. We kind of thought that might have been a peak from all of that activity. But you're right, we continue to see increases. Generally, what happens with compressions as clients put risk on through the risk trades and then old risk on the books, they manage off the books through compression. What we've seen is we've onboarded some large macro hedge funds that have been doing a very significant amount of compression trading with us recently, and that's led to the uptick. For example, in the third quarter, we saw 100% year-over-year growth in greater than 1-year compression activity ADV versus, say, 20% in greater than 1-year risk trading ADV and swaps. So definitely very elevated. So I guess what I would describe as more compression trading is obviously good. Yes, we get paid less for it, but it leads to the significant increase in volumes. The offset to that obviously is an impact on FPM a negative impact on FM. But generally, the more business is good. I guess, I'll pass it to Sara.
Sara Furber: I think, Tom, it was well put. I think in terms of fee per million, which obviously is a complicated metric, it's really an output. We are obviously focused on revenue growth. It fluctuates on a quarterly basis. So I'll try to give you a little bit more color. So 1 year plus swaps, so greater than 1-year swap fee per million, even through the third quarter was relatively volatile. So we had lows in August, and then we saw a rebound in September. And it followed a decrease in compression activity in September. But obviously, it is remaining elevated and in October compression activity is higher, which has a negative impact on fee per million. That said, duration is also an incredibly important factor on fee per million and duration would be things like increasing the duration of trading and risk trading, and we are seeing positive signs of that in October, particularly there's been more volatility on the longer end of the curve. So fee per million impacted by both of those things. And obviously, like as Tom said, overall, we want to see our clients trading on our platform, and we're focused on overall revenues, which remains strong.
Billy Hult: And as you know, Alex, we kind of live and breathe with these, what we describe as like micro trading protocols, right? And so that's really code word for, like understanding how your clients engage with the marketplace, right? So a little while ago in Europe, specifically with European swaps, and Tom mentioned the macro head fund community, we launched a protocol that we call request for market, which was the ability for a client to trade on one or the other side of a marketplace. And that is really the habit and the style of how those clients trade. We wound up picking up market share from launching that protocol, but as importantly, onboarded those clients, which led to some of the sort of compression activity. that Tom was describing and then things feed on themselves from there. So this constant sort of ability to create protocols that mimic real trading workflow is really an intense focus that we have as a company.
Operator: Our next call comes from Alex Kramm with UBS.
Alex Kramm : All good. I don't think anybody has asked about the new data agreement, unless I've missed it, but why don't we go there for a second. And I'm particularly interested in your commentary around, I'm paraphrasing here, but more freedom to pursue your proprietary opportunities. So can you maybe just remind us what you have in place today that's not through [indiscernible] Refinitiv? And kind of what initiatives you think you're now more able to do? And obviously, the greatest thing would be if you have any idea about the TAM for those things that you can now pursue, maybe easier than you had in the past?
Billy Hult: We were thinking we might get asked that question, so we have like 3 pages of preparation for it. No one is more prepared than 0Sara. So you take this is a great question.
Sara Furber: Yes. Thank you. Look, we're really pleased about the new data deal. I think from our seat, it's largely covering the same data sets in the prior contract, but it definitely does allow us to have more flexibility and do things alongside on a nonexclusive basis. It does position both companies, I think, for a win-win. And so importantly, our ability to grow not only that line with new use cases, but grow our third-party data line is really a lot of the flexibility. So the FTSE announcement that came out, I think it came out yesterday is a perfect example where we are going to monetize that through selling closing prices, some of which Refinitiv will do and some of which we can also do on our own. So I think that is a key important point. And I think the flexibility allows us to make sure that the data is getting in the hands of as many people as possible, which really is an important benefit for the market. I'd just add one other point, which is we're pleased with this. But obviously, our primary focus away from Refinitiv in growing the third-party data line, which is growing well in excess of double digits is to deliver better client execution outcomes. And that is multiples of value in our mind of how we monetize it. I don't know if you want to add anything.
Operator: Stand by for our next question. And we have Chris Allen with Citi.
Chris Allen : Maybe just one on credit. You noted the second highest block market share across both hybrid and high yield. Any color on where that is currently? What are the kind of keys to gaining more share there? And also on the ETF market maker side, just kind of curious how material they are to your current business and any opportunities to penetrate deeper?
Tom Pluta: Chris, yes, as far as the credit block trading efforts, it's still relatively early in terms of our penetrating the block market, but we did achieve our second highest block share across IG and high yield in the third quarter. Our efforts right now are really led by portfolio trading as it's a protocol that's really well suited for going after the block market. So -- And we're also continuing to focus on ways to deliver dealer inventories and access most efficiently to clients, as that's where the big size can also gets done. So we're quite focused on that, and we do expect to continue to grow going forward. And overall, I think our penetration across all 3 client channels really does put us in a strong position to build solutions that will continue to grow those volumes. On the ETF market maker side, clearly, ETF, the trend and the growth in ETFs is very strong and very healthy and will continue for years to come, particularly in fixed income. So we've seen our ETF volumes grow. We've seen the interaction with ETF market makers and cash credit continue to grow, and we think that will be a growing share of our market. I believe it's around 10%, 10% for us today, but we do see that sector of the market continuing to grow going forward. And thanks for the question.
Operator: And our next question comes from Kenneth Worthington with JP Morgan.
Kenneth Worthington : I wanted to ask about the Treasury CLOB business. You mentioned fierce competition in the prepared remarks. I guess where is Tradeweb's market share currently? And as the new liquidity providers come on, where would you expect that to go? And then on the fierce competition, are they leading with price? Or are there other factors driving share? And then, I guess, lastly, I think NFI, Tom, was more dominant in off the run how do you see sort of the Treasury CLOB competing in the on-the-run versus the off-the-run markets?
Tom Pluta: Ken, the -- so we did get through the data center migration earlier this year. As you know, the client feedback on that has been positive, and the team has been continually focused on boarding more clients and trying to grow with our existing ones. That process does take time. There's a lot of coding and calibrating involved, balancing against other technology priorities in all of these firms. But we did see our share bottom in April and begin to rise since then. We think we do have a lot of potential to narrow the gap with the larger competitors. In addition, the other huge part of our U.S. Treasury actives business, as we call it our -- on the Run business is our wholesale streaming protocol, which continues to grow significantly. So the combination of these 2 protocols allows us to provide great liquidity alternatives to our wholesale clients. And increasingly, we're -- we try to integrate those 2 offerings to give clients different opportunities to access the actives market. So as far as factors driving share, I think it's that. I think it's providing a complete solution across the active business as opposed to just looking at the CLOB or looking at streams or looking at something else, and that's what we're focused on. As far as the question on-the-run versus off-the-run, our offering is an on-the-run platform for the time being. But thanks for the question, Ken.
Operator: Our next question comes from Michael Cyprys with Morgan Stanley.
Michael Cyprys : Just a question on the new bank capital requirements, the Basel III and game proposal. Just curious how you see the proposal potentially impacting the marketplaces where you operate just in terms of volumes, liquidity, competitive landscape. And how might the proposal impact the opportunity set for Tradeweb with potential for more activity to move towards the electronic markets? And any sort of thoughts on which areas might be slated to benefit most for you?
Tom Pluta: Michael, great to hear from you. So the Basel III end game is sort of in the process of finalizing and implementing these rules Essentially, what I think about -- how we think about it is it's the prospect of yet more additional capital charges on banks, which continues the trend that we've seen since the GFC and the Dodd-Frank rules came out. So what that means is, unfortunately, I think it's harder for banks to continue to grow their balance sheets, they're committed to these markets. and certainly can't grow in line with the continued growth in fixed income markets because of growing deficits and debt loads. So I think what this allows for as far as market structure is the continued emergence of these nontraditional market makers, we should probably stop calling them that because there are huge factors in the market already. But these other types of market makers will continue to grow to fill in the gaps. The PTFs, the algorithmic and systematic market makers continuing to come in and grow. These types of dealers, they're heavily quant-oriented. they're data oriented, they lead with technology and they trade most of the business electronically. So this should continue to grow, this development and these trends should continue to grow the electronic share of the market and lead to higher velocity.
Billy Hult: And there's a direct line to that question and go back to the very first question that we got about what the banks are going through in the concept of belt tightening. And so we're in the exact same zone and Tom mentioned in the previous question, 2 different things. One was the concept of the off-to-on market in the wholesale space moving into a more electronic space. We can completely correlate that reality to the question. And then the other thing I would describe is this focus that we have as a company in credit on bank inventories and the electronification of bank inventories as this process of balance sheet winds up getting worked out. These are massive themes. And for the very reason why you asked that question, I would say, intense levels of focus for us as a company.
Operator: And our last question of the morning comes from Brian Bedell with DB.
Brian Bedell : Great. A lot of great color on the call, so I appreciate all the answers that you guys are giving. My one will be just on another angle on regulatory. Just view on basis trading between cash treasuries and futures and potential regulatory scrutiny on this as well. Just I guess your viewpoint on the merits of the strategy and any sense of within your cash treasury volumes have significant, a portion of that is?
Tom Pluta: Sure. Brian. So yes, there's been a couple of articles written about this, that perhaps the regulators are focused on the growing size of the cash futures basis trade has been growing. They've been and talking about, obviously, we had that big unwind during the initial COVID shock in 2020 that caused some -- a little bit of disruption to the markets. But overall, I think that it's a very healthy trade that exists because what's happening is there are segments of the market, and particularly, again, off the runs that are not highly sponsored, they cheapened up significantly when they cheapen up to a point where there's value in the trade, these hedge funds will come in, and they will buy the treasuries and sell futures against it. So what it really does is it corrects inefficiencies in the market and it lowers the cost of borrowing to the U.S. Treasury because it's keeping treasuries more in line with other derivatives in the market. So I think it's actually bringing efficiency. It's a relative value trade. It brings efficiency to the market. And yes, if there was another big shock, you have unwinds and things like that, yes. But overall, I think it's very good for the market, and it's very good for the U.S. government.
Operator: And this concludes the question-and-answer session. I would now like to turn it back to Billy Hult, CEO of Tradeweb for closing remarks.
Billy Hult : Thank you all very much for joining us this morning. If you have any follow-up questions, please, obviously, feel free to reach out to Ashley, Sameer and our excellent team. Everyone, have a great day, and thanks very much for the questions.
Operator: This does conclude our session. You may now disconnect.